Operator: Good day and thank you for standing by. Welcome to GlobalFoundries Third Quarter of Fiscal Year 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to, Sam Franklin, Head of Investor Relations. Please go ahead.
Sam Franklin: Thank you, operator. Good morning, everyone, and welcome to GlobalFoundries third quarter 2023 earnings call. On the call with me today are Dr. Thomas Caulfield, CEO; David Reeder, CFO; and Niels Anderskouv, Chief Business Officer. A short while ago, we released GF's third quarter financial results, which are available on our website at investors.gf.com along with today's accompanying slide presentation. This call is being recorded, and a replay will be made available on our Investor Relations web page. During this call, we will present both IFRS and adjusted non-IFRS financial measures. The most directly comparable IFRS measures and reconciliations for adjusted non-IFRS measures are available in today's press release and accompanying slides. I'd remind you that these financial results are unaudited and subject to change. Certain statements on today's call may be deemed to be forward-looking statements. Such statements can be identified by terms such as believe, expect, intend, anticipate, and may or by the use of the future tense. You should not place some due reliance on forward-looking statements. Actual results can differ materially from these forward-looking statements, and we do not undertake any obligation to update any forward-looking statements we make today. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today as well as risks and uncertainties described in our SEC filings, including in the sections under the caption Risk Factors in our annual report on Form 20-F filed with the SEC on April 14, 2023. We'll begin today's call with Tom providing a summary update on the current business environment and technologies, following which Dave will provide details on our end markets and third quarter results and also provide fourth quarter 2023 guidance. We will then open the call for questions with Tom, Dave and Neils. We request that you please limit your questions to one with one follow-up. I'll now turn the call over to Tom for his prepared remarks.
Thomas Caulfield: Thank you, Sam and welcome to everyone joining our third quarter earnings call. Against the backdrop of ongoing global economic and geopolitical uncertainties, our dedicated teams worldwide have achieved third quarter results that are at the upper end of the guidance ranges we outlined in our second quarter update. I'm very proud of their execution and resilience. Let me start by providing a brief update on the current business landscape. Similar to others in the industry, we anticipate that semiconductor inventories will persist at high levels across multiple end markets through the end of 2023 and in many cases into 2024. Specific end markets that we serve, such as smart mobile devices, communications infrastructure, data center and the lower end of the consumer and home electronics segment continue to grapple with increased inventory compounded by decreased year-over-year demand. To manage elevated inventory some customers have requested shipment adjustments and alterations to their long-term agreements. We are collaborating closely with these customers to support their short-term inventory reductions and avoid prolonging the duration of the inventory correction. In addition to working collaboratively with our customers, our primary objective throughout all of these negotiations is to safeguard the long-term value of these agreements. In some cases these discussions have led to underutilization charges related to these adjustments. Dave will elaborate on this in his remarks, but we expect these productive conversations to continue during the fourth quarter, as we work collaboratively to address ongoing market challenges. Expanding on our second quarter update, we believe a return to year-over-year growth in 2024 will be contingent upon inventories significantly declining from their current levels and a concurrent marked recovery in global demand, particularly across consumer-centric end markets. Based on discussions with our customers, we believe that the required catalyst for growth will at a minimum remain uncertain at least through the remainder of the year. Now despite these industry headwinds, we're still witnessing resilient demand in key end markets like Automotive, Industrial IoT and Aerospace and Defense. As semiconductors play an increasingly vital role in these critical sectors, we've unveiled exciting partnerships in product developments which I will discuss shortly. Let me now touch briefly on our third quarter results which Dave will discuss in more detail later in his commentary. Revenue in the quarter increased sequentially to $1.852 billion which was above the midpoint of our guidance range. We reported adjusted gross margin of 29.2% in the quarter, which exceeded our guidance range. This better-than-expected performance was driven by the continued efforts of our teams around the world to optimize our manufacturing spending as well as the successful resolution of adjustments to customers' near-term volume requirements and the associated underutilization payments which Dave will discuss in his commentary. We delivered a consecutive quarter of positive free cash flow, which continues our disciplined approach to capital management and deployment while preserving our strategic capacity expansion objectives. I am also pleased to report, that we delivered adjusted earnings per share of $0.55 which exceeded the high-end of our guidance range. Let me now provide you a brief update on some of our recent customer partnership activity. Starting with Automotive, we delivered another quarter of solid revenue growth. Our Auto-Grade Technology Platform, continue to serve crucial applications across vehicle infrastructure smart sensing, auto processing and safety. We remain focused on providing best-in-class solutions to our customers, while supporting the transition of the industry from internal combustion engine models to autonomous connected electrified vehicles. This remains an exciting growth vector for us and one where we continue to grow our customer partnerships with the development of Automotive-grade to semiconductor solutions. I'm pleased to report that we remain on track to deliver $1 billion of automotive end market revenue, in 2023. In smart mobile devices, we continue to remix our business towards the premium-tier handset market where we have seen greater resilience in demand and opportunities to build upon our feature-rich solutions. At our Annual Technology Summit in August, we launched 9SW RFSOI Technology Platform which is our most advanced RF solution and will offer significant improvements in switching performance, lower power consumption and area advantages in front-end modules for today's 5G operating frequencies as well as future 5G mobile and wireless communication applications. Meanwhile in IoT, we recently announced advancements to our industry-leading 22FDX platform, introducing a suite of innovative features such as, ultra-low power memory and temperature-resistant capabilities to deliver top-tier performance and intelligent power consumption. With a rapidly expanding network of globally connected IoT devices, we continue to see opportunities for innovation across our differentiated technologies focused on enhanced power efficiency and embedded memory for secure intelligence solutions at the edge. We are already designed into several products that utilize domain-specific architectures to support various AI at the edge applications, such as our 55 LPx platform supporting Oculi's embedded intelligence sensors and our 22FDX manufacturing process being designed into Nordic's latest generation of low-power wireless SoCs with workload optimized processes that support complex machine learning and sensor fusion at the edge. Aerospace and defense is another important growth area within IoT, as the focus on national and international security takes an increasingly prominent role on the global stage. We are proud to have extended our partnership with the U.S. Department of Defense with the award of a 10-year contract for the supply of secure semiconductors for use across a wide range of critical applications. Finally, communications infrastructure and data center remains a challenged end market within our portfolio. Consistent with previous downturns, we believe that this is due to a combination of elevated inventory levels and the acceleration of node migration from data center and digital-centric customers to single-digit nanometers. As discussed during our second quarter earnings update, we expect that elevated inventories will continue at least until the end of the year due to the prolonged channel digestion of both wireless and wired infrastructure inventory levels across our customers. As a result, we continue to focus on opportunities to remix some of our excess capacity to service demand in more durable and growing segments such as automotive. Turning briefly to our capacity additions. We continue to develop our global footprint in a measured and capital-efficient manner in geographies that align with our customer supply chain requirements. In September, I was proud to attend the opening ceremony for our $4 billion Fab 7h expansion in Singapore, which will have the capacity to produce approximately 450,000 300-millimeter wafers annually. And I'm pleased to report that the incremental capacity is already helping to meet customer demand. When it comes to considering the timing of incremental capacity additions, we will remain highly disciplined in assessing the broader market conditions and committed customer demand. To summarize, I'm pleased to report financial performance, which exceeded several of the guidance metrics identified in our second quarter update. Notwithstanding, the deeper and longer-than-expected downturn impacting our industry our dedicated teams around the world continue to execute on the targets that we set out to deliver for our customers and our stakeholders. Although, we remain cautious on the near-term outlook, over the longer-term, we continue to see a secular acceleration of the role of semiconductors in the world, and we are committed to developing deep customer partnerships and investing in innovative feature-rich solutions, so that GF can play an increasingly vital role in the future of our industry. With that over to you, Dave.
David Reeder: Thank you, Tom, and welcome to our third quarter earnings call. For the remainder of the call, including guidance other than revenue, cash flow, CapEx and net interest and other expense, I will reference adjusted metrics, which exclude stock-based compensation and restructuring charges. As Tom noted our third quarter results were at the upper end of the guidance ranges we provided in our last quarterly update. Third quarter revenue grew sequentially to approximately $1.852 billion, a decrease of 11% year-over-year. These results included approximately $23 million of revenue related to customers' adjustments to their near-term volume requirements. We shipped approximately 575,000 300-millimeter equivalent wafers in the quarter, a 10% decrease from the prior year period. ASP or average selling price per wafer, declined approximately 2% year-over-year mainly driven by changes in the product mix shift during the quarter. Despite the modest decline in ASPs during the quarter, we expect that the pricing environment will remain stable through the end of 2023 and we believe that ASPs for the full year will be roughly flat to slightly up compared to 2022. Wafer revenue from our end markets accounted for approximately 89% of total revenue. Non-wafer revenue, which excludes revenue from reticles, nonrecurring engineering, expedite fees and other items, accounted for approximately 11% of total revenue for the third quarter. Let me now provide an update on our revenues by end markets. Smart mobile devices, represented approximately 42% of the quarter's total revenue. Third quarter revenue decreased approximately 1% sequentially and decreased roughly 18% from the prior year period, principally driven by ongoing weakness in the demand environment and a continuation of the well-publicized inventory correction within the broader smart mobile market. Despite these reduced volumes, ASP and mix improved year-over-year as we continue to remix to the premium end of the smartphone market. We expect the pricing benefits associated with these mix improvements, to be higher for the full year as compared to 2022. During the third quarter, shipment volumes decreased sequentially which was primarily due to the excess channel inventory. However, we continued to see healthy demand during the quarter for our RF transceiver solutions into premium tier handsets. As Tom noted in his prepared remarks, we believe that inventory levels across smart mobile devices will remain elevated going into the year-end, as the rate and pace of demand growth is slower than previously anticipated. In the third quarter, revenue for the home and industrial IoT markets represented approximately 20% of the quarter's total revenue. Third quarter revenue increased approximately 4% sequentially and declined 7% from the year prior period. The consumer-centric portion of our IoT end market, primarily contributed to the year-over-year declines as well as modest declines in ASP and mix within the quarter. For the full year, we expect that ASPs within home and industrial IoT will be roughly flat compared to the prior year. We continue to see stable demand within our home and industrial IoT segment, which is helping to offset some of the weakness in the consumer-centric portions of the portfolio. The demand for our smart card technology grew again in the third quarter as the confluence of speed, convenience and transaction integrity are enabling applications to expand beyond digital payments and into areas such as transportation, government, health, security and access control.  As Tom noted in his prepared remarks, aerospace and defense is a segment of growing importance within IoT where we continue to grow design wins and establish new partnerships to deliver best-in-class semiconductor manufacturing security and traceability. As a result, we expect increasing near-term customer demand for our next-generation analog and mixed-signal technologies into these end markets to largely offset the current inventory correction and market softness in the more consumer-centric portions of the IoT market. Automotive continues to be a stable growth segment for us and represented approximately 17% of the quarter's total revenue. Third quarter revenue increased approximately 24% sequentially and roughly 219% from the year prior period, driven by healthy growth in volumes, ASP, and mix as we have continued to ramp production across automotive processing, sensing, vehicle infrastructure, and safety applications. The pricing environment within automotive remains highly constructive as the silicon content functionality and applications across ICE and ACE vehicle architecture continue to grow year-over-year. As part of our discussions with customers, supply chain certainty continues to be a key consideration for existing and future designs and GF is uniquely positioned to meet these needs by investing in capacity across our globally diverse manufacturing footprint. As Tom noted, our automotive business is on track to deliver approximately $1 billion of revenue in 2023, consistent with what we communicated at the start of the year. Next, moving to our communications infrastructure and data center end market, which represented approximately 8% of the quarter's total revenue. Third quarter revenue declined approximately 26% sequentially and roughly 58% year-over-year as a result of declining volumes and the key drivers outlined by Tom in his prepared remarks. As noted during our second quarter update, we expect to see a decline in revenues for this end market through the end of 2023 and as mentioned by Tom, we will continue to allocate manufacturing capacity into more durable and accretive markets such as automotive and premium smart mobile applications. Finally, our personal computing end market represented approximately 2% of the quarter's total revenue. Third quarter revenue declined approximately 29% sequentially and 23% year-over-year, principally driven by declining volume in this segment. Although we anticipate a sequential increase in PC end market revenue in the fourth quarter, we still expect this end market to remain at approximately 3% of total 2023 revenue. Moving next to gross profit. For the third quarter, we delivered gross profit of $541 million, which was at the high end of our guided range and translates into approximately 29.2% gross margin. Gross margin exceeded the guidance range indicated, and as Tom alluded to in his prepared remarks, includes manufacturing cost efficiencies and revenue associated with the successful resolution of customer volume adjustments. Looking ahead to the fourth quarter, we expect some of these benefits to subside and this has been reflected in our fourth quarter guidance. Operating expenses for the third quarter represented approximately 12% of total revenue. R&D for the quarter was roughly flat at $101 million and SG&A increased sequentially to $118 million. Total operating expenses increased sequentially to $219 million in the quarter. We expect total operating expenses to decline in the fourth quarter and included in our guidance is the expectation that we will receive approximately $30 million of benefit related to the advanced manufacturing and investment tax credit. As we continue to spend on qualifying US expenses and capitalized assets in 2024 and beyond, we expect to continue to receive these benefits through the life of the program. We delivered operating profit of $322 million for the quarter, which translates into an approximately 17.4% operating margin, which was above the high end of our guided range and 140 bps below the prior year period. Third quarter net interest and other expense was $18 million and we incurred a tax benefit of $4 million in the quarter. Our third quarter net income increased sequentially to approximately $308 million, but represented a decrease of approximately $60 million from the year-ago period. As a result, we reported a sequential increase in diluted earnings of $0.55 per share for the third quarter. Let me now provide some key balance sheet and cash flow metrics. Cash flow from operations for the third quarter was $416 million. CapEx for the quarter was $323 million or roughly 17% of revenue. Free cash flow for the quarter, which we define as net cash provided by operating activities, less purchases of property plant equipment and intangible assets as set out on the statement of cash flows was $93 million. At the end of the third quarter, our combined total of cash, cash equivalents and marketable securities stood at approximately $3.36 billion. We also have a $1 billion revolving credit facility which remains undrawn. Next, let me provide you with our outlook for the fourth quarter. We expect total GF revenue to be between $1.825 billion and $1.875 billion. Of this, we expect non-wafer revenue to be approximately 11% of total revenue. We expect gross profit to be between $502 million and $544 million. We expect operating profit to be between $327 million and $389 million. Excluding share-based compensation, but including the benefit related to the advanced manufacturing investment tax credit, for the fourth quarter, we expect total OpEx to be between $155 million and $175 million. At the midpoint of our guidance, we expect share-based compensation to be approximately $45 million of which roughly $14 million is related to cost of goods sold and approximately $31 million is related to OpEx. We expect net interest and other expense for the quarter to be between $7 million and $13 million and tax expense to be between $18 million and $24 million. We expect net income to be between $296 million and $358 million. On a fully diluted share count of approximately 557 million shares, we expect adjusted earnings per share for the fourth quarter to be between $0.53 and $0.64. Consistent with our commentary in August, our fourth quarter guidance reflects the expectation that utilization will be in the low to mid-80s for the full year of 2023 due to prevailing demand environment and elevated inventory levels that Tom outlined earlier. As we discussed in our second quarter update for the full year of 2023, we now expect CapEx to be approximately $2 billion. As Tom noted in his prepared remarks, we remain on track to meet the capacity footprint aspirations that we set out in our strategic objectives and based upon our CapEx commitments. As part of our fourth quarter results, we will provide more specific guidance on our CapEx targets for 2024. However, we anticipate a material year-over-year reduction in CapEx as we focus on delivering significant year-over-year free cash flow generation. In summary, consistent operational performance from our dedicated employees across the world and continued efforts to expand our differentiated product offerings in key growth segments enabled us to achieve third quarter results at the high end of the guidance ranges we provided in our second quarter earnings update. We remain acutely focused on the fourth quarter and year-over-year demand outlook heading into 2024, as well as positioning GF for long-term growth opportunities. With that, let's open the call for Q&A. Operator?
Operator: Thank you. We will now conduct a question-and-answer session. [Operator Instructions] Our first question comes from Mark Lipacis from Jefferies. Please go ahead.
Mark Lipacis: Hi. Thanks for taking my question. Tom, you had mentioned when you're talking about customers asking for relief or working collaboratively with you to try to adjust the LTSA. I'm wondering what are the mechanisms that you are using to safeguard the value of those LTSAs. To what extent -- is it that your customers are covering the fixed costs associated with what they originally expected to get versus extending an LTSA for a longer period of time, or getting more strategic sockets or higher volume on the back end? If you could help us understand, how that collaboration manifest I think that would be very helpful. Thank you.
Thomas Caulfield: Thank you, and good morning, Mark. You actually answered the question yourself there. Look we started this year we'll just take a step back as an industry that we were going to be down in the first half and come roaring back in the second half. So in the first half customers were saying let's build some of that inventory because we have to get ready for the second half and clearly that didn't happen. And we're just starting to see now is exactly what these long-term agreements were meant to was to provide a balanced framework by which we as partners with all our customers go through these cycles together. The contracts are so bespoke that it's -- you can't take -- it's a one-off, right? They're all unique. But I would tell you the one thing that is common to all of them and you saw in the last quarter we had an underutilization resolution to $23 million is first and foremost let's not prolong an over-inventory situation. Let's figure out what makes sense to build. And then how do you repurpose that capacity for other corridors that maybe there is better demand? How do we go win new design sockets to extend the long-term agreement? Again this is not about one-sided long-term agreement. They were supposed be balanced and partnership driven. Now the last thing I would tell you about these is they're calendar-based. And that means a lot of the true-up takes place at the end of the year. So I think you can expect to see more of these types of resolutions and alignment as we get through the rest of this quarter. But you're right it takes the form of many different elements, new design wins, repurposing capacity, extending the life of these contracts. And in some cases a payment for an underutilization is part of that resolution. I hope that helps.
David Reeder: Do you have a follow-up Mark?
Mark Lipacis: Yeah, I do. Thank you. And I think when we talk about a lower -- I appreciate that you're not giving the guidance on the CapEx for next year. But it sounds like it's going to be a reduction in 2024, which should translate to a better free cash flow. Is that lower -- is what you're thinking about for CapEx next year is that lower than what you had originally envisioned over the last couple of years? Is that going to be a lower bogey than what you were thinking? Thank you.
David Reeder: It is Mark. And let me just maybe preface that statement with just, kind of, reiterating what we're trying to achieve. We're trying to achieve about three million total wafers of capacity. When you look at the funds that we've spent over the last three years, we are essentially at that mark. Some of that capacity still to come online. But we are essentially in line with that target. And so, when you think about CapEx for 2024, while we're not guiding it right now, we'll guide that in February with our fourth quarter update as well as our first quarter guidance. We're thinking about something materially lower. So think in terms of kind of half, if not less than half of what we're spending in 2023.
Mark Lipacis: Very helpful. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from Ross Seymore from Deutsche Bank. Please go ahead.
Ross Seymore: Hi, guys. Thanks for let me ask the question. Tom, I want to talk a little bit about the linearity of demand. You've talked about the correction taking a little bit longer. I think that's no surprise to anybody. But you guys are holding in quite well despite that. Just wanted to talk about when do you think some of those corrections will be done? We've heard data points of green shoots from some other foundry folks on the smart mobile device side of things? Are you seeing that? And is there kind of a rolling basis as to when you're going to see that normalization by end market? Any color on that would be helpful.
Thomas Caulfield: Yeah. Let me start and then maybe I'll pass it to my colleagues. You're right, you can't think about semi-demand as a monolithic number. It's really about end markets. And for me when I take a step back, it's the end markets that were hit the hardest with the highest inventory are the ones that it's more obvious to see green shoots because you're kind of bumping along the bottom, and that includes smart mobile devices and a lot of things that are more consumer centric. And so we do see that there may be opportunities for some of that to start growing. And it's not about just growing off a low base, as it will be a significant growth or not. It's nice to see that by and large, inventories have either peaked or came close to peak and in some cases have come down in some of those markets and that's the beginning of getting a recovery where demand will not be able to drive further growth. I'd say that automotive while you hear some noise in the industry, it could soften maybe that's because it's been such a strong year for automotive. But it remains strong and as we said in our prepared comments that we're feeling really good about producing $1 billion of revenue this year in automotive market. That's up from about $375 million last year. So I really think it's about all of us watching inventory by end market and then how do we go get this consumer-led spending industry supercharged with consumers again. And that will be the -- it touches many of the end markets when that takes place. Niels, David anything you'd add to that?
Niels Anderskouv: Maybe I can add a little bit on the momentum we're seeing on the design win side. So automotive, obviously, very pleased with the results as Tom said. And we talked about in previous calls that a lot of what we are enjoying this year, two to three years ago, we made those design wins. But I'd like to say it also we continue to be very pleased with the design and momentum that we have in that space. And it's similar comments for IoT. We talked a little bit about SMD in the opening how we are getting more and more focused on the high-end tier phones there. See a little bit of in what you call green, sorry green shoots, especially in the RF area there. And then, of course, A&D we continue to be pleased with the momentum we are building on that front as well.
David Reeder: Did you have a follow-up Ross?
Ross Seymore: Yes. I just wanted to pivot to you David over on the gross margin side of things. You guys have held that in well despite utilization coming down and all the gyrations on the mix side. I'm sure it's more challenging than we can appreciate. But as we think about the fourth quarter sequentially and then more importantly, the puts and takes for 2024, I appreciate demand is uncertain but you talked about your wafer output, capacity being normalized now to your target rate and some of the CapEx you're doing, et cetera. What are the puts and takes as we think about gross margin going into 2024?
David Reeder: Thanks, Ross. And let me speak generally first and then maybe I'll speak specifically, about some of the puts and takes. Look, we're quite pleased with how we've rebaselined our cost structure, such that we can largely absorb headwinds of about six to eight points associated with call it roughly 20 points decrease in demand utilization. And that doesn't happen by accident. So there's a lot of great work from roughly 13,000 employees around the world at GF to be able to accomplish that result. And so we're very pleased with how we've rebaselined things from a cost structure perspective on the manufacturing side. Still plenty of work to do but we've come a long way. With respect to the third quarter some puts and takes look we received about one point of benefit from the successful resolution of some of those LTA under utilizations that we mentioned in the prepared commentary. And then when you think about guidance for fourth quarter, it does incorporate that range, incorporates the expectation that we will have some more additional underutilization resolution. So you put all of that together and I think the big picture takeaway is just really when you have five points of utilization, drives two points of gross margin either down or up based on where your utilization is we've done a very nice job offsetting the utilization headwinds. And to the extent that utilization can come back in the opposite direction and start to improve then I think we have some opportunity to the upside.
Ross Seymore: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from Chris Caso from Wolfe Research. Please go ahead.
Chris Caso: Yes, thank you. Good morning. The first question is on the pricing environment. And I recognize that most of what you ship to customers now is based on agreements that was signed previously but perhaps you could talk to the pricing environment for new business. Is your expectation that new business that you signed on some of the new LTAs remain flat going forward?
Thomas Caulfield: Yes. I'll start. Look, we speak about this all the time and Niels touched on it about our design win pipeline. Our goal is to make sure all new business is accretive to our long-term model. 90% of the design wins that we booked this quarter were on our single-source business where we have differentiation that provides value to our customers and allows us to capture that value for ourselves. So pricing for us on all future business is always based about how the solutions we bring to the marketplace and we're bringing differentiation and we’re happy to report that our design wins in aggregate are accretive to our long-term model. And that hasn't changed from Q1 to Q2 and how we did in Q3.
David Reeder: Maybe I could reiterate a few points as well. We still believe as we've commented for a long time that pricing for the year year-over-year 2023 versus 2022 will be flat to slightly up for the year. We've mentioned that on any given quarter you're going to have some mix impact with respect to ASPs. But we do think that the pricing environment is still quite constructive particularly on the 300-millimeter side. You do see a little bit of pricing action taking place on spot deals and 200-millimeter. But for 300-millimeter I'd say the pricing environment is quite constructive. Did you have a follow-up?
Chris Caso: I do. Thank you. And perhaps you could talk about your expectations by market segment into the fourth quarter kind of what's up what's down recognizing that this demand change has been pretty asymmetric. If you could also speak to while you say that about what's the -- what's the market segment where you're seeing some of these payments for LTA true-ups? Which segment is that -- or is it concentrated in a particular segment?
David Reeder: Maybe I'll start on this one and Niels,Tom if you all have anything to add feel free to chime in. Look I think when you think about fourth quarter the sequential performance of the individual end markets I think you're going to see a little bit of more of the same of what you've seen throughout the course of this year. Automotive has been strong for us this year. Our expectation is you're going to continue to see that on a sequential basis. Within the home and industrial IoT business there's kind of a tale of two stories there. You've got industrial as well as aerospace and defense remaining quite stable. And then you've got by and large everything consumer being a little bit more challenged. And so I think what you've seen out of home and industrial IoT is a business some puts some takes, but largely kind of performing pretty consistently quarter-to-quarter to quarter throughout this year. Smart mobile devices, I would characterize as kind of bumping along the bottom. There's still some inventory that needs to be depleted out of that channel. And so on any given quarter you could have a little bit of movement there but I would say by and large kind of bumping along the bottom. And then you've got comms infrastructure and data center and I would characterize that kind of on a sequential basis as being relatively stable third quarter to fourth quarter. Niels or Tom anything you guys would add to that?
Niels Anderskouv: Maybe only on smart mobile devices we did see Qualcomm and Cerus and Calum [ph] reporting their results and sign -- to see a little bit of signs that the inventory has bottomed up, right? Next question.
Operator: Thank you. One moment for our next question. Our next question comes from Vivek Arya from Bank of America Securities. Please go ahead. 
Unidentified Analyst: Hi. Thank you for taking the questions. This is Dak Sanjang [ph] on behalf of Vivek. I just want to go back to the end market question. In autos, obviously, you're seeing great strength. You said likely a quarter-over-quarter strength into next quarter. How sustainable do you think this is just given some of your customers have portrayed some weaknesses and obviously you've had a strong year this year but it's likely going to be a tougher compare next year. So any color here would be helpful.
Tom Caulfield: Yeah. I think you have to foreshadow to that. Remember 2020, we were under $100 million of revenue. We grew to $375 million last year $1 billion. Clearly a small numbers looks like high growth rates when you start from a small base. Now, you're at $1 billion to continue those kind of growth rates just not in the cards, because the unit growth of automobiles. I think the one thing that plays to our advantage is everybody thinks about the transformation or transition in the industry of auto being just the electrification. But there's a whole bit about the autonomous nature and the connected part of that trend that transcends the electrification piece. So whether it's an internal combustion car or electrified vehicle they're going to need all these other semiconductor devices for navigation for managing all the signals in the car for radar devices and things of that nature. So I think maybe because we play in a little bit broader base we can capture new models because a lot of this business that we're building to today for sockets we've won three to five years ago. Now, if the industry if the automotive industry takes a pause and units coming down no one is immune from that. But so far as we can see in Q4 we're solid about what our shipments will be then. And as we get closer to next year, we'll take a look at the auto industry and decide what it has for GFS. But it will be for us a big part of our revenue as we go forward as a company, because of the alignment of the needs -- the semiconductor needs and requirements for automotive and our capability to deliver to that. Niels would you add anything?
Niels Anderskouv: The only thing is just reemphasizing the point that whether it's internal combustion engine or whether it's electrical vehicles we are well positioned and well balanced across both of those areas and the growth we've had this year goes across both and we expect that to be the same going forward.
David Reeder: Yeah, Vivek, I think what you're hearing is a little bit of a bifurcation. Long term we feel like the secular trends with the products that we provide in the market will be a tailwind for us. I think short term look like many in the industry we're looking at what's happening with interest rates. We're looking at what potentially that could create from a drag perspective on total units sold just car units into the market. So obviously that's something that we're watching. But long term we're still quite bullish on the sector longer term. Did you have a follow-up, Vivek?
Unidentified Analyst: Yeah. So going back to smart mobile devices I know you said we're approaching the bottom probably the next quarter or two, we're going to see an inflection. I know you guys don't guide 2024 now, but any color qualitatively for your assumptions next year would be great as well. Thank you.
David Reeder: Yeah, maybe I'll take that one. Look, we'll guide one quarter at a time as you know. But with respect to catalysts what are we looking for? Obviously, there's a little bit of macroeconomic uncertainty in the market just in general. That's across all end markets. There's two wars that are ongoing. And so I think just broadly speaking kind of general business environment is one of a little caution. With respect to smart mobile devices specifically, I think the positive takeaway from the industry in general as well as from our customers is that it does not look like inventory is growing any longer. It looks like pretty consistently inventory is coming down. I think we sit around the table and we think about the fact that we wish the rate and pace of that decline of inventory was a little bit faster. But I do think there's kind of broad acknowledgment that that inventory is finally starting to decrease. And so that's quite positive. I think when we think about longer term, we think about things like what are handsets going to do on a year-over-year basis. You've seen a couple of years in a row now where handsets have been challenged. I'm just talking global units. And so, will next year be a year in which handsets are flat handsets are up or handsets are down again? I think that will inform us in a pretty meaningful way, the rate and pace of that inventory reduction, which is what we're all watching in particular for this segment.
Niels Anderskouv: Maybe the only thing, I would add is that we are pleased with our exposure to the premium handsets. And we believe that's a good position to be in, as we move forward in the...
Thomas Caulfield: Yes. And last thing just to pile on, is part of this global economy, is seeing a revival in China where the spend in the world will be proportional to how fast China could come back and start to have handsets and other consumer devices. Next question, operator.
Operator: Thank you. One moment for our next question. Our next question comes from Joe Moore from Morgan Stanley. Please go ahead. 
Q – Joe Moore: Great. Thank you. I wonder, if you could address, we see very significant spending in China on these trailing edge nodes. What do you think is the impact of that on your business, if any? And how do you kind of think about reshoring prospects both in China and from the US kind of looking at that incremental capacity coming online?
Thomas Caulfield: Look, I think for GF, we were never going to be the kind of the me-too supplier. We need to innovate and provide solutions to end markets that are very unique and specific and that customers value it for their solutions. Having a checkbook, and adding capacity and even knowing how to run the capacity, is the table stakes to be a good foundry, but a lot of it is about the innovation you put in whether it's the different device types, the PDK, the standard cells, the libraries the unique features and IP you build around that. And as long as GF continues to innovate, as long as GF continues to create these solutions, capacity that's built for more generic type of applications doesn't conflict with what we're doing. And so for us, our goal and our game is to continue to innovate making sure, we start with a very crisp understanding of end markets and particular applications and device types in these end markets, understand where differentiation really matters and make sure we accelerate our time to market for our customers and make sure the capacity we're putting on, and the capacity we have is going to be fully utilized because we've created value for our customers.
David Reeder: Would you have a follow-up, Joe?
Q – Joe Moore: Yes. Sure. Thank you for that. That's very helpful. How are you seeing the prospects with the sort of smartphone-oriented customers? I feel like, you won a lot of that business four five years ago when you were more of a price leader obviously, you've differentiated a lot on the process technology. And there's a lot of focus on kind of strategic developments in autos and industrial and markets like that. But are those smartphone customers, are you able to kind of build this partnership culture with them and kind of potentially build more durable pricing and business models around that part of your business going forward as well?
Thomas Caulfield: Yes. I wouldn't say, we won the business because we're price leaders back in the day. I think there was a differentiation there, and maybe we could have done a better job capturing that bag. I'll give you a perfect example, Joe. We announced on GTS earlier this year, our 9SW solution, which is the follow-on 8SW. This is a natural extension for front-end module technology. It gives 20% better fixed switching performance, lower power, and smaller area. And that same list of customers that leverage our technology in the front-end modules are lining up behind this technology to lead them to the next generation of 5G wireless solutions. I think you'll start to see a shift into GF's millimeter wave solution as well into these handsets. Just by way of example some of our 55 BCD technology finding new applications in these smartphones. So, I would say that the smart mobile device market very important for GF. It has high volumes. Differentiation matters there because of size and power performance. And they continue to pick and choose the applications again where we have differentiation and our customers choosing us to go win in the marketplace with that.
Niels Anderskouv: I'll just add 9SW that we announced like Tom said at GTS we're very pleased with the introduction of that technology the performance we're getting the performance our customers are getting and the way they're ramping at it. And 55 BCD continues to be a really, really strong process for audio smart power haptics in the phones, so also very pleased on that front. So, as you see 20% more performance, lower power levels, and also smaller dia area on 9SW, we're pleased with how that's rolling out.
David Reeder: Yes, I think the last thing I would add just to build the final piece on there is you have seen us shift where we play in that market. We have very clearly shifted from playing across kind of the lower tier of that market and even the low end of the medium tier of that market. And you've seen us focus over the last, let's call it four years 2020 through 2023, you've really seen us focus much, much more on that premium tier. And you've correspondingly seeing the ASPs go up or increase in a pretty significant way across -- or across that timeline along those years. So, much more of a focus towards the premium. Next question operator.
Operator: Thank you. Our next question comes from Chris Danely from Citigroup. Please go ahead.
Chris Danely: Hey thanks. Just another question on the renegotiation of these LTSAs et cetera for next year. Has anyone tried to renegotiate on price? Or has it just been pure volume? And is it more a push out from like the first half of 2024 into the second half of 2024? Or is anybody pushing anything out into 2025? And then as a result of this your inventories has gone up this year. What can we think about the implications to utilization rates? And how would be your inventory plans coming into next year?
David Reeder: Sure. Let me speak about when you say inventory, I think you're referring to GF inventory. So, maybe I'll address that one first come back around and provide some additional color on the LTAs. Our inventory has increased this year and the vast majority of all of that increase is actually not in work in process nor is it in finished goods. It's actually in the raw materials the majority of which is in substrates. And those substrates typically their lives could be up to five years, if not even longer than five years with some of those substrates. So, the inventory increase specifically at GlobalFoundries is by and large associated with kind of raw materials if you will that feed into the manufacturing process. It is not in -- it is not in finished goods. We build to our customers' demand. And so taking that aside, and then talking about the LTAs, all of the LTAs, as Tom mentioned are bespoke. There's over 40 LTAs that we work with our customers on a daily basis with respect to what their volumes and their demand needs are. And so without being too generic, but to talk about some of the elements in those LTAs. Tom described it very well earlier in this call, which was at the beginning of this year, the expectation was that the first half would be a little bit softer in the market, and then there would be a relatively healthy recovery in the second half of this year. And so during the first half of this year what you saw customers doing is, I'd say, by and large across the semiconductor industry customers were looking at demand needs. They were looking at some of their longer-lived products, and they were saying, well, let's build a little bit of inventory to be able to accommodate a second half recovery such that we're not left stranded and unable to satisfy demand. As we made it through the first and second quarter, and we got into the second half of this year, I think, what everyone recognized was that the second half ramp that maybe we were expecting was not happening at the rate and pace that we expected. And so then you saw customers and I would say, GF customers as well as the general industry, you saw customers say, okay, we don't want to build any more inventory, we actually now need to start reducing our demand on local boundaries and on some others. And then you start working through those LTAs, I would say, in some pretty good rigor and detail around those LTAs. And so the end results what are you seeing? You're seeing us get great visibility to customers' road maps, which is giving us greater opportunity for design wins. You're seeing us working with customers on, if you don't want to take the inventory demand then how can we work together maybe for either increasing the duration, maybe a modest underutilization fee. So you're seeing those start to flow through. The resolution of some of those agreements again for the third quarter was about $23 million, included in our guidance range for the fourth quarter is the expectation that we'll have some additional resolutions in the fourth quarter. And so I don't think what you're seeing is some push out into first half of 2024 or the second half of 2024. I think what you're seeing is call it the true-up of 2023 right now. And I think as we exit 2023 and as we start to get into 2024, our expectations are that the demands that are loaded in the LTAs for 2024 that those demands will largely be realized. And to the extent that they're not then we'll sit down again in the 2024 period with our customers on all the elements and variables. Did you have a follow-up Chris?
Chris Danely : Thanks. Yes. So I guess a question for Tom. I think Tom you intimated that in the automotive side, you're seeing some customers start to ask for a second source outside of Taiwan. This is just something that we're starting to hear more and more not just in the automotive end market. So can you just expand on that? I mean, is this happening like across end markets where semi customers are starting to get more and more fearful of a potential Chinese invasion of Taiwan and saying hey within two, three years you need to give us another manufacturing source outside of Taiwan the potential benefits to GlobalFoundries?
Thomas Caulfield : Yes. I think, it's more macro than that. I think it's about single points of failure and resiliency. How can you have something that's critical in the semiconductor industry have such a high level of concentration in any part of the world? I mean, it's geopolitical, there's geological risk. And what you're really seeing is that like, anything too much of a good thing becomes a bad thing. That we just put too much concentration and customers are looking for a more resilient supply chain, a little bit more balanced. I think the leaders in that right now are customers in China, who want to be international players and they worry about their ability to shift worldwide if there are more issues that prevent them from shipping from things manufacturing in China. So, yeah, interested in China for China but also interested for worldwide supply for the rest of the world and their customers. And we're seeing some of that take place with customers and getting design wins where they want us to be an alternative manufacturing for a footprint to supply their global customers. So I think this is more of a macro event of independent of geopolitical things going on right now which is good and prudent managing that you eliminate signal points of failure and concentration of supply chain and you make it a little bit broader and resilient. And GF, I mean that was the premise Chris, the GF story when we were created in 2009 we're going to be the first -- world's first truly global semiconductor foundry. In the beginning didn't have much value for people, but more-and-more as we see how important semiconductors are, it creates great value for customers. It gave us a bit of a head start, because we have that global footprint and it's easier for us to create additional capacity in the regions we operate on rather than go greenfield and so -- and I think this is a trend for the future independent of what the temperature is in the geopolitical landscape.
Niels Anderskouv: And maybe if I could just add one thing, because I'm not sure it's clear to everybody outside of GF. But a big part of our strategy is to have manufacture, all our technologies in multiple locations. So you can get manufacturing in Singapore, we try to do the same in Dresden and vice versa in Malta. In that way all customers we can provide them those dual capacity footprints. And we think that's a big and important part of the strategy moving forward.
Thomas Caulfield: So a single part member can be sourced across our global business.
Niels Anderskouv: Yes. Yes.
Chris Danely: Got it. Thanks guys.
Niels Anderskouv: Next one.
Sam Franklin: Thanks Tom. We'll take one more.
Operator: Okay. One more question.
Sam Franklin: Thank you.
Operator: One moment for our next question or the last question. Our next question comes from Harlan Sur from JPMorgan. Please go ahead.
Harlan Sur: Good morning. Thanks for taking my question. Many of your customers are still working to clear excess inventories. March quarter is a seasonally weaker quarter for any of your consumer-focused segments. Your wafer fab cycle times are typically a full quarter. So you're already executing wafer starts for the first quarter. Can you just give us a sense directionally on how to think of your revenue and utilization trajectory into Q1? Should we expect a sequential step down in Q1 more in line with seasonal trends or maybe a more flattish profile, as you guys are already kind of shipping below consumption?
David Reeder: Sure. Maybe I'll start with that one. And let me just take a more macro view first and then maybe come back and address specifically some of the questions. I think we mentioned earlier in the call that we are taking just in general a cautious approach given the fact that we still have persistently high inflation. We've got some inventory in the channel, a couple of wars going on. But that aside, the specific guidance that we've kind of given for the year is that we've given that we expect to be in the low to mid-80s from the utilization perspective for all of 2023. For the first half we were kind of mid to high-80s. Obviously, that implies a lower utilization heading into the second half of this year, which is very much I think consistent with the fact that we're starting to see inventories drain now. And so, you're seeing utilization rates come down as that inventory is being drained. So I think sequentially from fourth quarter to first quarter, I think the industry has historically seen a decline with just seasonality perspective weighing in. And so, when we think about this year, I would say higher utilizations in the first half, lower utilizations in the second half, consistent with that inventory decrease. And then, when you think about rolling into next year, you typically have some seasonality, which is pretty well documented in the industry. So I think with that, we'd probably leave the guidance there with respect to anything 2024.
Harlan Sur: Yes. No, appreciate that. And then last call the team had anticipated based on your LTSAs and new customer engagements that overall like-for-like wafer pricing would be relatively stable-ish next year versus this year. Is that still the case?
David Reeder: Sure. With respect to our LTAs, like-for-like pricing is pretty flat. So, been pretty consistent on that point. Remember those LTAs had fixed price, fixed volume, fixed duration. Obviously, as we've gone through the year and we've had some inventory that had to be worked out. Obviously, we've had to renegotiate some of those elements. But I would say, by and large, from a pricing perspective, like-for-like is really pretty stable and somewhat constructive.
Harlan Sur: Okay. Perfect. Thank you.
Operator: At this time, the Q&A session has now ended. I will now turn the conference over to Sam Franklin for closing remarks.
Sam Franklin: Thanks Antoine, and thanks everyone for joining the call today. Sorry, we couldn't get to everyone in the call list, but we look forward to speaking to you bilaterally and catching up over the coming months. Thank you.
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.